Operator: Greetings and welcome to the PaySign, 2019 Year End Earnings Call. At this time, all participants are in a only-listen mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. This presentation may include forward-looking statements to the extent that the information presented in this presentation discusses financial projections, information or expectations about the company's business plans, results of operations, the impact of COVID-19, returns on equity, expected gross margins, markets or otherwise make statements about future events. Such statements are forward-looking. Such forward-looking statements can be identified by the use of words such as should, may, intends, anticipates, believes, estimates, projects, forecasts, expects, plans and proposes. Although the company believes that the expectations reflected in these forward-looking statements are based on reasonable assumptions, there are a number of risks and uncertainties that could cause actual results to differ materially from such forward-looking statements. You are urged to carefully review and consider any cautionary statements and other disclosures including the statements made under the heading Risk Factors and elsewhere in our 2019 Form 10-K. Forward-looking statements speak only as of the date of the document in which they are contained and the company does not undertake any duty to update any forward-looking statements except as may be required by law. This presentation also includes adjusted EBITDA a non-GAAP financial measure that is not prepared in accordance with nor an alternative to financial measures prepared in accordance with U.S. generally accepted accounting principles, GAAP. In addition, adjusted EBITDA is not based on any standardized methodology prescribed by GAAP and is not necessarily comparable to similarly titled measures presented by other companies. I would now like to turn the conference over to our host, Chief Executive Officer, Mark Newcomer. Please go ahead.
Mark Newcomer: Thank you, Diego, and good afternoon everyone and thank you for joining us for a discussion about our full year 2019 financial results. I am Mark Newcomer, the President and Chief Executive Officer at PaySign. With me this afternoon is Mark Attinger, our Chief Financial Officer. Before I begin my commentary on the business, I would like to address the delay in the filing of our 10-K. The delay in our filing was due to several rounds of auditor requests for additional data which took several days to complete. I would like to point out that there were no changes to the preliminary financial numbers we reported on March 16. Mark can touch on this in more detail during his discussion. I am very pleased to be able to deliver strong results for the full-year performance even with the miss related to our revenue guidance. For the full year our revenues were a record $34.7 million, an increase of 48% compared to the prior year. Our full-year net income was up 188% or $7.5 million, also a record, our adjusted EBITDA was $10.1 million, an increase of 106%. I'm very happy with these results and extremely proud of our team and their contributions towards our continued growth. We experienced strong growth in our existing industry verticals and as we expanded into new verticals. In 2019, we built out a new business line, added 49 new card programs including 38 in plasma, 7 in pharma and 4 other card programs and we now have an excess of 2.9 million cardholders on our platform. I am especially pleased with the revenue growth in our pharmaceutical programs which increased from 366,000 to over 7.3 million in just one year. With new opportunities opening in the space, we have expanded beyond our long-standing pharmaceutical payment offerings and established a patient affordability business line to include other services required by our hub service clients. These new services include pharmacy base co-pay, medical claims processing and payments, centralized billing and payment services, as well as other products. You will be hearing the term hub from us quite often moving forward as we grow this business line. So to define hubs, hub service providers are companies that pharmaceutical manufacturers use to maintain a connection with the patients during all phases of the prescription delivery process. Over the past few years there has been a consolidation of hub service providers. The consolidation in the industry has turned allied companies into competitors, therefore creating an opportunity for us to provide these new offerings to hub service providers that lack or choose not to provide these services in-house. In response to this opportunity, we have made the decision to increase our capabilities to cater to these hub service providers with programs currently onboarded and performing to initial expectations. Over the course of the past year we have continued to build out this business line and have onboarded new personnel to meet the needs of this unique market. This represented a substantial investment into new software development, architecture, and human capital. Drawing from industry experience, we designed, developed and deployed a best-in-class solution to meet the needs of our patient affordability partners. These enhanced capabilities will further our reach into the patient affordability space and allow us to onboard new clients from multiple sectors. We have continued to build out and strengthen our entire team here at PaySign. In the latter part of 2019, we also increased the bench strength of our executive team with the addition of Matt Lanford as our Chief Product Officer and Kim Sergent as our Chief Marketing Officer.  They have been instrumental in creating new products, features and functionality for our clients as well as refreshing our brand. I am very pleased to have them as part of our team. I'd like to touch for a moment now on COVID-19 and would like to reiterate that our highest priority remains the safety of our employees, cardholders, and customers. We have taken immediate actions to protect our people, customers, and business by executing on our business continuity plans. To us especially important is the main sectors we serve are crucial to the health and well being of the general public. We have implemented measures to manage potential disruptions in mean time real-time communications across entire organizations with our clients and cardholders. To date, there have been no work stoppages and no employees tested positive for COVID-19. Of course, we will continue to monitor the situation very closely. The impact of COVID-19 to our business so far has been minimal with no apparent effect on our Pharma and Patient Affordability business lines, which continue to see excellent growth and only a slight impact to our plasma business. However, we are expecting at this time to see continued growth year-over-year in the plasma business. On March 19, 2020 the U.S. Department of Homeland Security released a guidance document that enumerated source plasma donation and pharmaceutical supply as part of the critical infrastructure. Plasma donation centers are being classified as being within the category of essential critical infrastructure healthcare and pharmaceutical supply that is exempted from general lockdown or closure directives. Looking forward to the other side of the pandemic, two things; first, is that we expect the economic fallout from the pandemic will lead to an increase in the number of donors as donor compensation can bring an extra $500 a month to frequent donors; and secondly, if plasma collected from people with the COVID-19 antibody is found to be a component of any therapies that were treated the virus we would expect to see a sizable increase in the number of plasma donations, both from the current donor demographic and the general public. Looking ahead, we will continue to broaden and diversify our market focus for our card programs and we will seek to introduce new products. We are developing new business divisions and solutions, enhancing our customer web and mobile applications and building new Pharma and Patient Affordability offerings. We expect continued growth in Pharma and plasma and to continue to expand into new markets. With regards to PaySign premier, we continue to refine the product that is offered through one of our plasma clients. To date, we have minimized our marketing expense for the premier card as we have chosen to deploy the majority of our focus and resources on the expansion of the previously mentioned initiatives. Lastly, we will continue to evaluate acquisition opportunities in 2020. We have evaluated several candidates to date; however, there is nothing definitive to share at this time. Before I turn it over, I would like to address the question of Dan Henry. As you all know, Mr. Henry has served as our Chairman and is an Independent Director since 2018. On March 25, it was announced that Mr. Henry was appointed Chief Executive Officer, President and as a Board Member of GreenDot Corporation. After discussion with the PaySign Board and Mr. Henry, it was unanimously decided there would be no change to Mr. Henry's status with the company. Mr. Henry remains with PaySign as our Chairman and as an Independent Director. At this time, I'd like to turn it over to our CFO, Mark Attinger who will take us through the numbers in more detail and will touch briefly on SOX 404(b).
Mark Attinger: Thank you, Mark. So I'm going to take us through to the full year results, provide some various commentary, touch on SOX 404(b) and give you some insights into quarter one performance. In digesting our earnings and the 10-K, I'm sure you've noticed we've disaggregated revenue a bit and enhanced our commentary. As I proceed, references to year-over-year improvements or percentage changes unless stated otherwise refers to the full year 2019 as compared to 2018. Revenue for the year ending December 31, 2019 was $34,666,653, an increase of 48.0% compared to the $23,423,675 in the prior year. Revenue consisted of $27 million or 78% in support of the plasma industry, $7.4 million or 21% Pharma and 0.3 million or 1% in other revenue. Although quarter 4 dollars loaded to card performed as expected, the revenue conversion rate on plasma of 3.2% was down from 3.80% in Q3. This unexpected degradation combined with lighter Pharma spend contributed to the full-year revenue shortfall versus guidance. Gross profit increased 68.8% to $19.3 million or 55.5% of revenues compared to $11.4 million and 48.7% of revenues in 2018. This 685 basis point improvement was driven primarily due to favorable mix towards higher margin card programs. The operating expenses were $13.1 million, an increase of 47.2% versus $8.9 million in 2018. The increase consisted primarily of $2.5 million in salaries and benefits, $1.1 million in stock-based compensation and $0.4 million increase in depreciation and amortization. Benefiting from higher card balances interest income was $441,000 compared to $140,000 the prior year. Net income year for the year was $7,454,319 or $0.16 per basic share, an increase of 188.0% compared to $2,588,054 or $0.06 per basic share in the prior year. Fully diluted was $0.14 per share compared to $0.05. Non-GAAP adjusted EBITDA was $10,114,980 or $0.21 per basic share, an increase of 106.2% compared to 4,904,781 or $0.11 per share for the prior year. Furthermore , the adjusted EBITDA margin improved to 29.2% up 824 basis points from 20.9% in 2018. We loaded $859 million loaded to the card versus $621 million the prior year and our revenue conversion rate of gross dollar volume loaded on cards was 4.04% or 404 basis points compared to 3.77% or 377 basis points the prior year. I would also like to point out that our near final 2020 first quarter pharma net dollars loaded to card increased approximately 70% versus quarter 1, 2019 and increased 275% versus the prior quarter loads. This illustrates both the seasonal nature of pharma business and the significant year-over-year growth. From a balance sheet perspective, consolidated cash including restricted cash has increased 43.9% or $13.9 million to $45.6 million compared to $31.7 million at year end 2018. As a point of reference and a seasonal peak for our current programs, consolidated cash at February month end was $61.6 million. Also, although we haven’t completed our reconciliation, we expect our quarter ending consolidated cash to be approximately $54 million to $55 million including unrestricted cash of approximately $9.5 million consistent with year end. Working capital increased to $13.6 million compared to $5.9 million at December 31, 2018. The $7.7 million improvement was due primarily to increased consolidated cash partially offset by an increase in the card funding liability. Our liquidity as measured by an adjusted current ratio, excluding restricted card funds from both sides of the balance sheet respectively, reflected 7.9 times coverage at year-end 2019 up from 5.4 at 2018. I'd like to speak for a moment regarding Sarbanes-Oxley 404(b). At the end of quarter 2, our market cap resulted in being classified as an accelerated filer and subject to an independent audit of our internal controls of our financial reporting, i.e. the 404(b). The objective of Sarbanes-Oxley and the COSO framework is to make sure that your processes and controls help to prevent any inaccuracies in your financial reporting. So in preparation we brought in a third party advisory firm, as many companies do, to aid us in preparing for 404(b). Subsequently, PaySign and our auditors identified material weakness over internal controls for financial reporting. We take this very seriously and have taken immediate steps to remediate the identified weakness. We added staff to aid in the assessments. We implemented an appropriate separation of responsibilities. We improved our documentation and have strengthened our processes with respect to systems use or access and change control. We will continue to make improvements during 2020. Please refer to item 9A of the 10-K for more information. In light of the identified control weaknesses, the auditors were extra diligent in their assessment of the financial audit leading to an extended duration. This resulted in the completion of our third year with our current auditors and once again the audit opinion stated the financial statements present fairly in all material respects the financial position of the company as of December 31, 2019 and the opinion further states results of operations cash flows upon conformity with generally accepted accounting principles. Also for those of you interested in looking more closely at quarter 4, our financial results of course do roll. Therefore full year less September year-to-date does reflect our Q4 earnings and financial activity. As we look to 2020, we will refrain from issuing revenue guidance at this time to allow for a further evaluation of COVID-19 and any impact on our business. Pharma and plasma are both defensive in nature as our CEO has stated. Plasma has been deemed critical infrastructure. We do expect to benefit from continued revenue growth and also similar gross margins to 2019. We also expect to experience moderate OpEx growth as we continue to make select and sound investments in our sales, technologies and operations capabilities. Although we have not completed our month end and quarter end closing procedures, for the first quarter we do anticipate revenue of approximately $10.4 million to $10.5 million, up 43% to 45% versus $7.3 million the prior year. I think that concludes my remarks at this time. I'm going to turn it back over to our moderator, to begin our question-and-answer session. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Peter Heckmann with Davidson. Please state your question.
Peter Heckmann:
Mark Attinger:
Peter Heckmann:
Mark Attinger:
Peter Heckmann:
Operator: Thank you. Our next question comes from Austin Moldow with Canaccord Genuity. Please state your question.
Austin Moldow:
Mark Newcomer:
Austin Moldow:
Mark Newcomer:
Austin Moldow:
Mark Attinger:
Austin Moldow:
Operator: [Operator Instructions] Our next question comes from Jon Hickman with Ladenburg Thalmann. Please state your question.
Jon Hickman:
Mark Attinger:
Jon Hickman:
Mark Attinger:
Jon Hickman:
Mark Attinger:
Jon Hickman:
Mark Newcomer:
Jon Hickman:
Operator: Our next question comes from Peter Heckmann with D.A. Davidson. Please state your question.
Peter Heckmann:
Mark Attinger:
Peter Heckmann:
Mark Newcomer:
Peter Heckmann:
Operator: Thank you. [Operator Instructions] Our next question comes from Austin Moldow with Canaccord Genuity. Please state your question.
Austin Moldow:
Mark Newcomer:
Austin Moldow:
Mark Newcomer:
Austin Moldow:
Mark Newcomer:
Austin Moldow:
Operator: Thank you. There are no further questions at this time. I will turn it back to Management for closing remarks.
Mark Newcomer: So look it is a difficult time for our country right now and for the world and we are all digesting what is occurring and how to protect our families and loved ones and those who we work with. With that said, please make no mistake about it. We remain as focused as ever on executing each day and each week and delivering valuable services to our clients and customers and continuing our growth and profitability. Thank you again for your interest, for your questions, and your participations in this call and be safe and have a good evening. And Mark, did you want to add to that?
Mark Attinger: Yes, again thank you Diego and thanks everyone for joining us today and we look forward to staying in touch in future quarters. Have a nice day and you all take care and stay safe out there.
Operator: Thank you, this concludes today's conference. All parties may disconnect. Have a great day.